Grant Davids: Good afternoon, and welcome to Sanlam's 2025 Interim Results Presentation. Thank you for joining us. I am Grant Davids, Head of Investor Relations at Sanlam, and I'll be facilitating today's session. I'm joined in the auditorium by our Group CEO and Group Finance Director as well as members of the executive leadership team. As we usually do, Paul Hanratty, our Group CEO; and Abigail Mukhuba, our Finance Director, will present today's results, and then we'll move to a Q&A session. With that, I'll hand over to Paul.
Paul Hanratty: Good day, ladies and gentlemen, and a very warm welcome to today's release of Sanlam's First Half results for 2025. As Grant mentioned, I'm joined today by Abigail Mukhuba, our Chief Financial Officer. We'll try to make this a relatively quick presentation since we anticipate seeing all of you in October for our Capital Markets Day. At our Capital Markets Day, we are going to announce extensive changes to our financial reporting, new medium-term group financial targets, and we're going to provide an update on key strategic initiatives. But today's focus will continue to be on our current basis of financial reporting and our current targets. I'm going to begin by giving you a very brief overview of where we are strategically and of our results, then Abigail will provide you with a much more detailed presentation on the financial results and give you some of the color on the underlying business performance. I'll wrap up with an outlook for the balance of the year, and then we'll open up to questions. Turning now to the overview and strategy. The first half of 2025 represented another period in which the group has delivered strong financial results. Profits and cash generation remained strong across all of the operating businesses. This really underlines the quality of the businesses we have in each segment of the market and each product line as well as the strength of our partnerships. As you know, we've done a series of transactions over the last 4 years to create a stronger platform for future growth. The bedding down of these integrations is continuing, and we've made tremendous progress in the 6 months with in-country integrations in SanlamAllianz and Assupol as well as a number of smaller businesses. In each case, our realized synergies exceed our original business case. We've always had a very strong focus on creating a sustainable business and an environment in which the communities in which we operate can thrive in the long term. Sustainability is becoming increasingly embedded in all our business practices. Turning now to the numbers. There are very -- there are two very important features of this year's results that I want to alert you to. These are the profit growth rate and the new business growth rate, with the growth rate in the value of new business related to the life new business growth. The performance on both of the -- on both profit growth and sales has been extremely pleasing and much better than is at first apparent. The various transactions undertaken by the group make year-on-year comparisons difficult. On a reported basis, the net result from financial services is up by 15% and the net operational earnings also up by 15%. However, this does not reflect the true strength of the underlying results. On a strictly like-for-like basis, the results are much stronger. The net result from financial services and net operational earnings are both up 20% on a normalized basis. Now the gap between the actual and the normalized earnings is represented by the elevated level of Sanlam's discretionary capital of ZAR 9.2 billion, about ZAR 6 billion above our target range as well as the addition of the Assupol business to our portfolio. It's also important to note that there have been a number of currency movements, and that's the single biggest explanation for the gap. The discretionary capital increase has arisen from the sale of businesses with underlying earnings growth, while Assupol was not in last year's numbers and its profits have grown strongly under Sanlam's ownership. As I mentioned, currency movements have played a very significant role in the difference between reported and normalized earnings. We're delighted with the true 20% growth in the core earnings of our portfolio. The various transactions that we've carried out have also negatively impacted our new business volumes and the value of new business reported. In particular, the termination of the Capitec joint venture last year and the 2 transactions involving Allianz in the SanlamAllianz joint venture have had a very big one-off impact on sales and the value of new business. We've also been through a period of restructuring the distribution within our retail mass business because of the Assupol integration, and this has also impacted growth. I'm delighted to say that the integration of Assupol has proceeded extremely well, and we now have a great base to grow off going forward. After allowing for normalization, growth in Life new business has been muted in 2025 in any event with U.S. tariffs and geopolitical issues weighing heavily on growth. Short-term interest rates have remained stubbornly high, and we are now only beginning to see the relief on this front. It is true that we saw a good pickup in the run rate in Q2 from Q1. And actually, we continue to see and expect a further pickup in the run rate going forward. We're very confident that the ongoing market share improvements that we've achieved in the first half of 2025 will continue to power better growth in the second half. General insurance premium growth and investment business -- new business has been extremely pleasing. It's worth noting that the growth in assets under management has been exceptionally strong in the half year, underlining very good sales of investment products and improved retention across the group. Net new client cash flow has added just under ZAR 50 billion to our assets under management. Our VNB numbers are disappointing as we knew they would be. As I said earlier, the termination of the Capitec joint venture in 2024 has had a major impact and the switch away from immediate annuities to living annuities has impacted the value of new business too as long bond rates have declined. Nonetheless, the strong value of new business added strongly to this half's return on group equity value performance, almost 1.5% to that return on an annualized basis. Adjusted return on group equity value, our current key valuation creation metric and ROE have both been above our target range, underlying the strong value creation from the group during the first half of the year. Solvency as ever, remains very strong. Discretionary capital, as I mentioned, is well above our target range. But of course, much of this is earmarked now for the Indian insurance transactions where we continue to wait for regulatory approval. You'll see that the first half of 2025 fits into the ongoing pattern of delivery ahead of targets. Turning now to our operations in Africa. In South Africa, we've had really excellent results. Sanlam -- Santam continues to move into the zone that we always believed it could. Life insurance profits have been strongly bolstered by the Assupol acquisition and Assupol itself has delivered strong profit growth under the Sanlam management system and through the integration processes that we've put in place. As I mentioned earlier, immediate annuity sales, which have been elevated in recent years by very high long bond yields have declined with living annuities replacing them. These do not generate the same VNB, but require less capital and in the long run, are very valuable for shareholders. Investment sales have been excellent. The Ninety One transaction has not impacted our sales or retention at all, and our clients are fully supportive of Ninety One being appointed as Sanlam's active asset management partner. At SanlamAllianz, 6 of the 11 integrations of overlapping businesses have now been completed. In Morocco, we are implementing actions agreed with the regulator to satisfy the competition issues, and we expect these to be completed by the end of December. This will pave the way for the merger of our 2 businesses in Morocco. We are delighted with the progress to build the preeminent insurance platform in Africa beyond the South African borders. I want to talk a little bit about Assupol because this has obviously been a very big transaction in our business. The integration of Assupol into our retail mass business is focused on improving quality of financial adviser productivity of churn and persistency. Although we've reduced the total adviser force in retail mass by 17% from the total combined number at the end of 2024, productivity amongst financial advisers is up by 23%. Churn is down by 85%. And overall, we are creating a much stronger base for the future. This process of reorganizing the distribution has affected our value of new business so far this year, but we've established a very solid base to move forward from. 95% of the Assupol advisers are now Sanlam employees. And by the end of the year, all of them will have been trained and will be operating off Sanlam software as opposed to the paper-based management system deployed previously by Assupol. There will be ongoing expense synergies realized in the future. Turning to India. India remains a source of great future value creation for the group as evidenced by very strong new business volumes and adjusted return on group equity value. Although the earnings result looks modest on the surface, the credit business has had profits dampened by prefunding of the book in anticipation of the geopolitical turmoil, which drags down the net interest margin in the short term. Credit expansion in India has also slowed slightly as the tariff impacts are felt. The biggest reason, however, for reporting lower profit growth is the investment we are making into the distribution in our insurance businesses. We anticipate that this will be handsomely repaid in the future. We have a number of transactions at various stages of progress across our 3 big growth engines. In South Africa, we remain focused on finalizing an agreement on the distribution of banking services to our customers, regulatory approval for the Ninety One transaction in South Africa and the development of the management team to drive Santam's new Lloyd's syndicate. In SanlamAllianz, we're still busy with the integrations and Morocco will now begin to take center stage for us. In India, we remain hopeful that we will receive regulatory approvals for our announced insurance transactions. We continue to integrate all aspects of sustainability into the group's operations. At our Capital Markets Day in October, we will explain how we intend to track and measure this item going forward. With that introduction, I'm going to hand over now to Abigail because she's going to take you through the numbers in a little bit more detail, and I'm sure that's what you're really here for. So Abigail, I'm going to hand over to you.
Abigail Mukhuba: Thank you, Paul. Good afternoon. I'm delighted to stand before you once again to share Sanlam's financial results. To provide a clear understanding of our underlying performance in a period with corporate action activities and foreign exchange volatility, we are presenting today our results both on an actual and normalized basis. For the normalized figures, we treat major corporate transactions as if they took effect from 1 January 2024. We adjust for one-off items and remove the impact of any currency movements. This approach gives us a like-for-like comparison. Despite a challenging economic backdrop, we are still very pleased to report that we have delivered strong performance for this period. Most of our key KPI -- most of our key performance indicators came in ahead of 2024, confirming the resilience of our business and the effectiveness of our strategy. While VNB was marginally lower, as Paul has already alluded to earlier, it needs to be seen in the context of the corporate activity, the tough economic environment. However, we still view the normalized movement as well contained and well managed. These results highlight not only our ability to execute, but our agility in supporting customers through uncertainty. Our group earnings growth during this period was largely driven by strong results from general insurance, life and health as well as our credit and structuring businesses. Investment management, particularly the wealth business, saw slower but positive growth. We increased spending on our fintech enabling capabilities by investing in supporting client experience upgrades, which is reflected in the corporate expenses and other line. In 2025, the net investment returns rose by about 20%, mainly from the shareholder capital portfolio performance. Project expenses also grew in accordance with our plans for 2025 as we continue to advance digital platform modernization to enhance long-term customer experience. Annualized actual return on group equity value of about 18.2% outperformed the annualized adjusted return of 15.4% over the period. This was due to positive investment variance and economic assumption changes driven by positive market performance and the decrease in risk-free yields. We are pleased that we achieved an annualized adjusted RoGEV that exceeds our target. This performance was driven by satisfactory contributions from profitable new business, positive risk, working capital and credit spread experience within the Life Insurance segment. Additionally, strong results were achieved by all non-life businesses across Southern Africa, particularly Santam, which outperformed its return on capital target during the period. From the perspective of operating experience and assumption changes, positive risk experience was realized on the covered business with consistently favorable outcomes across all South African businesses. However, our Sanlam Corporate Group business risk variance decreased significantly compared to the prior year due to pricing pressure. A negative persistency experience was recorded on covered business, largely driven by lapses in several life schemes at [indiscernible] and lower-than-expected premium increases in our Sanlam Risk and Savings Matrix businesses. We are pleased to report that the persistency experience in the Sanlam retail mass Individual life business continues to improve following prior year losses. The positive expense experience achieved was mainly attributable to the covered business in Sanlam in our SLS and SanlamAllianz businesses. Negative experience variances were reported in our noncovered business, mainly the SanlamAllianz business. And then overall, the operating assumption changes were slightly negative over the period. If I move on to our capital management, you'll see that our discretionary capital at the end of the period was just over ZAR 9 billion, ZAR 5 billion of that has been ring-fenced for the announced insurance transactions within our India Shriram business, which are still pending regulatory approval. However, considering the current geopolitical climate and the potential impact on financial markets, we still consider it prudent to maintain substantial discretionary capital buffer at this time, again, exceeding our usual target range of between ZAR 1 billion to ZAR 3 billion. Our solvency ratio remains comfortably within our target range and our leverage also remains at low levels. I will now move into the material lines of business performance. I will start with the Life and Health business. If you look at the Life insurance business, earnings grew mainly due to strong performance in the South Africa region. And this business benefited from higher CSM releases on annuity and risk books, positive mortality and persistency trends. We also saw higher asset-based income from increased assets under management. The Pan-Africa Life business earnings rose by about 12% on a normalized basis. This growth was driven by book growth, favorable claims and expense efficiencies, particularly in Egypt, higher market-related income in Malawi and good claims experience in East Africa, although this was offset by weaker results in Southern Africa. India's earnings growth remained muted due to ongoing investment in sales channels, but these support robust business volumes. While overall volume growth was subdued, we are still satisfied with the volume sustainability given the persisting market challenges. We saw improved single premium investment flows and strong client cash flows in the second quarter in South Africa. Paul mentioned that the VNB decreased by 18% on an actual basis, but I would like to also reiterate again that this was primarily due to the cessation of the Capitec joint venture, which expired in October 2024 as well as the reduced shareholding in our Namibia business as well as the overall SanlamAllianz joint venture during the period. And if you exclude or if you normalize for this, VNB was only down by 3%. If we unpack that drop in VNB, it was likely due to product mix changes from high-margin guaranteed life annuities towards the less capital-intensive market-linked living annuity products, particularly in the South African market. In addition, we saw weaker contribution from the group business in the same South Africa entry-level market in the second quarter. The opposite in the Pan-Africa region held true, where we saw mix changes, which was more -- moving more towards higher-margin products, particularly in Egypt and the East and West Africa regions. India, on the other hand, continues with the strategy to invest in market development to establish new distribution channels, as I mentioned earlier. And this has, in the short term, a negative impact on VNB. If I move into our general insurance business, our Santam business reported significant increase in earnings with net underwriting margin improving to 11.3%. This earnings growth was further supported by a return on insurance funds of 2.6%. The Pan-Africa region earnings rose by 9% on a normalized basis, driven by cost savings and higher investment return on insurance funds. The portfolio achieved a net insurance margin of around 11.9%, which is still well within its target range. India drove the strong earnings performance in the Asia region. This was due to its solid book growth and an improved net underwriting margin. Investment return on insurance fund margin remained satisfactory. The Investment Management segment earnings performance was primarily supported by asset management operations. These benefited from increased fee income due to higher assets under management and fund establishment fees within the alternative sector in South Africa. Though Glacier's new pricing strategy at the end of quarter 1 affected the latter, the strategy is meeting expectations as we've noticed that fund flows to competitors have notably declined since its introduction. Pan Africa achieved satisfactory earnings growth on a normalized basis attributed to elevated retail inflows, particularly in Kenya. Assets under management grew strongly, supported by favorable market performance and steady retail client cash flows. Under the credit and structuring line of business, we saw our Shriram Finance Limited business in India having demonstrated sustained earnings growth, supported by ongoing increases in advances and stable credit performance. These positive developments were partially offset by branch expansion and higher operational expenses, again, aimed at enhancing market presence. The structuring business in South Africa delivered robust earnings, and this was driven by elevated fee income from structuring activities. It was, however, tempered by increased expenditure on technology development and higher credit losses and some bad debt provisions as the Sanlam personal loans business resumed book growth while concurrently applying stricter IFRS provisioning requirements. The overall quality of the book remains at satisfactory levels. Pan Africa's increase in earnings contribution in this line of business on a normalized basis reflects stronger results within the Southern Africa portfolio. So in summary, from my side, our first half results reflect quality underlying performance across all regions, underpinned by continued balance sheet strength and resilience. With this financial delivery, we are well positioned for the future, and I will now hand over to Paul to take you through the outlook as well as our strategic priorities. Thank you for your continued support.
Paul Hanratty: Abigail, thanks very much. I'm going to end off very quickly by just reiterating our priorities for the rest of this year. We continue to focus on the remaining integration across Africa to make sure that we're able to deliver all the synergies that we need to and also service our clients correctly. We're very focused on making sure that we can conclude the South African component of the Ninety One transaction. We just remain to get the necessary approvals in that regard. As I mentioned earlier, we're finalizing the Lloyd's syndicate transaction, particularly making sure that we have the management in place to get that business up and running at the beginning of next year. And we continue to focus on capturing the opportunities in India and again, waiting for some regulatory approvals for the insurance transactions where we hope to step up our shareholding in India. We've had a great first half. All of our businesses have very, very strong momentum, both with profits and with sales, and we believe that we're very well positioned for a good second half. We put out a target at the beginning of the year for earnings of between ZAR 15 billion and ZAR 16.5 billion for net result from financial services, and we are very confident that our full year result will fall within that range. We expect to see continued growth and momentum in all our markets, and we expect the second half of the year to be better than the first half from a sales and value of new business point of view. But we do remain very focused on creating long-term value from a diverse and very well-positioned portfolio that's got high-quality businesses within it. So short-term results are not the most crucial thing, but we remain focused on creating long-term growth for all of our customers and for our shareholders. So this concludes the formal presentation, and I'm going to hand over to Grant now, who will take questions, and we'll try and supply answers from our side to anybody who wishes to raise questions. So Grant, over to you.
Grant Davids: Thanks very much to Paul and Abigail. We will now also welcome the group's Chief Risk Officer and Chief Actuary, Mlondolozi Mahlangeni. I think, operator, we will start with the call. Do we have any questions on the call?
Operator: First question comes from Francois Du Toit of Anchor Stockbrokers.
Francois Du Toit: Can you hear me?
Operator: We can hear you.
Francois Du Toit: First question, the CSM margin release reduced CSM new business contribution also reduced. Consequently, the CSM didn't grow in the last half year. But in contrast to that, the VIF to NAV transfer in the EV statement increased very nicely and the VIF grew as well. Can you maybe explain and reconcile the apparent contradictions? It seems like a much smaller part of the new Life business was classified as IFRS 17 Life business. If you can just confirm that for me, please? And then the second question -- the other experience variances reduced earnings by ZAR 285 million. Can you maybe elaborate on what's included in those other and whether you expect those other costs to recur going forward as well? And we've seen a sharp reduction in investment returns at Santam as well, and I see your expected investment returns for the Life business also reducing a lot. Have you also changed your investment strategy or asset allocation in the life funds? Those are my 3 questions for now.
Grant Davids: Abigail or Mlondolozi, who wants to take the CSM question?
Mlondolozi Mahlangeni: Okay. I'll take the CSM question. I'll also see if I can cover the other 3 -- the other 2. So if we start with the CSM, Francois, I'll just give you a bit of color now and we can have more detailed discussions. So it is true that -- I mean, we've had a reduction in new business volumes and VNB as was indicated by Paul and Abigail and that dampened and VNB has had an impact on the new business CSM. So it is lower than last year. Now why did the VIF increase? It's important to remember that while our new business -- our CSM in total on the balance sheet is around ZAR 30 billion on a normalized basis. Our value in force on a net basis on the balance sheet is about ZAR 54 billion. So there's quite a lot of other contracts that are classified as IFRS 9, but also there's other elements that are allowed on the VIF that are not necessarily included in the IFRS 17 evaluations. So the main driver of the reduction in the new business CSM was the VNB. And then what you see on the EV side is that we also did write some IFRS 9 business that contributed to VNB. So on an overall basis, the VIF did grow. So that's on the CSM part. And like I said, we can give you a bit more detail in the one-on-one discussions on that particular aspect. So then the second one is on the Santam investment returns reduced. It is true that Santam investment returns reduced because midway through the first half of the year, Santam made an acquisition of the non-life component of the Multichoice business, and that was funded out of a liquidation of a component of the equity portfolio at Santam. So it was a reallocation of part of the equity portfolio into the acquisition of that business. So what that meant that from an investment return perspective, that had a consequence of reducing your equity exposure. So the market run that you then have had in the second quarter, particularly was not reflected then in the Santam results. So that's what has led to the muted impact on the investment returns on the Santam side. So maybe linked to your question, there was an asset allocation change, which led to the reduction in the investment returns. Then on the point around the other experience variances, there are some other experience variances on both the covered and the non-covered side. And those are mainly related to -- on the covered side, they are mainly related to some of the alterations where clients have been taken up some of their premium increases and there's been a modification in the cover levels, but also those relate to some modeling and other related changes. On the covered business side, there is some other experience variances that took place in the first half of the year, particularly in SanlamAllianz business. So you asked the question, do we expect those to recur in the second half of the year? And the answer to that question is that we see those as of a one-off nature in the first half of the year, and we don't anticipate that they will recur in the second half of the year. So I hope that has addressed your 3 questions.
Grant Davids: Thanks very much, Mlondolozi. Operator, do we have any further questions on the telephone line?
Operator: Yes, sir. Next question comes from Warwick Bam of RMB Morgan Stanley.
Warwick Bam: Just 2 from my side. In the first quarter update, you disclosed the life and health insurance line of business increasing net result in financial services by 7%. This accelerated to 13% in the half disclosed today, which implies, on my estimate, the SA business had an exceptional second quarter. I appreciate we need to think about the inclusion of Assupol related to Capitec and significantly better market returns. But can you provide some more color on what the dynamics were in the second quarter for the SA license savings business? And second question, just on the Glacier repricing, which happened in March, it looks like the impact would have been in the second quarter. And I'm just trying to get a sense of [indiscernible] impact was and whether we should extrapolate that into the second half?
Grant Davids: Warwick, thanks a lot. Abigail, are you going to take those questions?
Abigail Mukhuba: Sure. Thanks, Warwick. The line was not very clear, but I think I've got the gist of the questions. If I start maybe with the Glacier repricing in the second quarter. I think as I said in my notes just now that we're seeing that the strategy has had positive impact in terms of reducing or limiting rather the outflows -- of flows to competitors. So we do expect that it should at least result into better volumes in terms of retention. But in terms of whether you just need to take the second quarter and then extrapolate for the remainder of the year, I don't expect it to be as significant as it was in this period. So I would not -- what you call -- I would say it should not get any worse in the remainder of the period. And then on the Life and Health, it was not very clear. I think you were talking about the run rate for the second quarter of the Life business. I must say that in our first quarter operational update, there was a classification change of one of our businesses based on some of the restructuring that we had done internally, our Sanlam Financial Markets business, there was some line item that shifted between Life -- at first half, we did not -- we included it under investment management and then -- in the first quarter rather, we included it under investment management. It actually should have gone to Life, and that's primarily the bigger impact of why the percentage holding seems to have changed. I'm not sure if I got the question quite clearly.
Grant Davids: Warwick, does that answer your questions?
Warwick Bam: Yes Grant. Thanks very much, Abigail.
Grant Davids: Thanks, operator. Any more questions from the lines?
Operator: Thank you. At this stage, we have no further questions from the lines.
Grant Davids: Thanks very much. I'll go to some questions that have come through, I think, from the webcast. The first question is from Michael Christelis from UBS. Can you give us a sense of what percentage of investment earnings for half one will be moving to Ninety One?
Paul Hanratty: Grant -- I mean, unless Abigail knows the answer. I mean, I can tell you roughly what it is. If you want to know exactly what it is, I can't tell you. We can deal with -- we can take it offline.
Grant Davids: Next question from Michael Christelis as well. What is driving the growth in the Assupol GEV given the lack of meaningful growth in the SLS GEV and CSM. I think some of the points we touched on earlier, but just on the growth of the Assupol GEV.
Mlondolozi Mahlangeni: Yes. So I mean the growth of Assupol GEVs, in that GEV of Assupol is about ZAR [ 100 ] million of new business that was written in the first half of the year. There's also been some positive mortality basis changes. Assupol has a very good mortality experience in the first half of the year. So that has led to positive mortality assumption changes. So that has led to a growth in the GEV as well.
Grant Davids: I'll stick with you for the next question, Mlondolozi, also from Michael Christelis. How much of the -- how much lower are guaranteed annuity sales in SA this half versus the same period last year?
Mlondolozi Mahlangeni: Yes. So the -- if you just look at the volumes, they are probably -- there's about 30% to 40% lower in the first half of the year compared to the first half of last year. But we must hasten to add, as Paul indicated that the total volume of annuity sales that made have remained strong. It's just a mix between the guaranteed life annuities and the investment-linked annuities. So from a business perspective, we are able to participate in the total pool, but the reduction of the life annuities would be about 30% to 40%, but we've been able to capture that on the investment-linked living annuities.
Grant Davids: Thanks. Next question is from Baron Nkomo from JPMorgan. Three questions from him. First one is just if there's any comments that you can make on the new business and VNB growth at Assupol? I know you did touch on it briefly in your last commentary.
Mlondolozi Mahlangeni: Yes. So I've covered that on the Assupol side on the new business and the new business CSM.
Grant Davids: Yes. And then Baron also asks about -- I mean, he asked again about -- the second question about the decrease in the CSM. I think we also touched on that. And I think Baron, we will be able to dig into that one-on-one a lot more around the technicalities around that. The group's long-term ROE target, Baron asks for -- I mean, Paul did mention the Capital Markets Day coming up...
Paul Hanratty: Well, we'll -- at the Capital Markets Day, we will cover our target for ROE going forward.
Grant Davids: And then a question from Brad Moorcroft from Peregrine Capital. Abigail, you had referred to that VNB slide. Again, I think we touched on some of the points. But I think Brad just wants to get some color around how we're seeing the entry-level market in South Africa in terms of economic weakness and competitive environment, how that's coming through or impacting the VNB in our entry-level market in South Africa?
Abigail Mukhuba: I think the competitive environment obviously continues to be quite competitive and all the more reason you need to make sure that the products -- your product solutions that you offer that entry-level market is value -- what you call, value adding to the customer. But I think in terms of VNB, we previously had said that if you look at our historical VNB performance, Capitec was what we call VNB reach and not so earnings or net result from financial services reach. And then Assupol now, it's almost the opposite where the VNB is still very strong, but not as strong as the Capitec position. And the earnings, obviously, they're much stronger in terms of their contribution. So from an entry-level market, it's more a case of we've got to make sure that we improve on our service offering and ensure that the client offering that we offer will continue to retain, I think, persistency and the volumes. And as I said earlier, we've managed to make sure that we keep persistency in that environment.
Grant Davids: Thanks. Almost a follow-on question, but this one from Marius Strydom from Austin Lawrence Gidon. And Marius asks, would we agree that insurance new business growth is increasingly being delivered by banks in South Africa? What is the group's strategy to compete more effectively from a data, especially credit quality data and cost perspective?
Paul Hanratty: Yes. Look, I'm not sure that we can really answer certainly not the second question. I think the first question, there's a lot of volume increasingly being written because particularly the book of Capitec that moved across Marius is very significant. As to the value of new business, we're not sure, of course, what that is. And in many cases, it's not published. So very hard to comment on. In terms of data, I'm not sure that it's a data issue. It's a client engagement issue. And I think the battle is really not around data, but it's connectivity and engagement with the clients in that market. There are -- some of the newer players, the banks, persistency is extremely poor. So you have to be very careful when you look at new business numbers. You need to look at the net growth as well in the book.
Grant Davids: Thanks, Paul. A follow-up question from Marius. It is a Santam question, which maybe Santam is best placed to answer. But the question is, Santam's strategy around whether it's aimed at market share growth competing on price or protecting margins given that the underwriting cycle is starting to turn.
Paul Hanratty: Yes. So the Santam business, even more than the Sanlam business is very focused on return on capital. That is the overriding criteria. So we don't pursue new business at all. It's more a question of where do we allocate our capital in terms of the risks that we take on. And that will continue to be the case in Santam. It will not be a pursuit of market share at all in that business.
Grant Davids: Thanks, Paul. Last question from the webcast from Jarred Houston from All Weather Capital. Can you give us a sense of the priorities for excess discretionary capital?
Paul Hanratty: Well, I think we've set those out already in the presentation. Abigail explained that a huge part of the discretionary capital is set aside to cover off and fund the Indian transactions. So that's obviously priority #1. And then beyond that, I think it's to maintain a slightly elevated level given some of the geopolitical and tariff challenges that we see.
Grant Davids: Thanks, Paul. I believe we do have one question on the telephone line, operator?
Operator: Next question comes from Faizan Lakhani of HSBC.
Faizan Lakhani: Most of my questions have been answered, but I just wanted to come back to the CSM growth. So CSM has fallen this year, and you pointed to the fact that VNB was suppressed. Just given your sort of run-through of the CSM release versus VNB growth, what are your expectations for CSM growth in your Life & Saving business on a sort of a 1- to 2-year horizon? Second question is on FX. So clearly, FX had a big impact this year, and you highlighted that. If FX stays where it is today, what is the implications for H2? And what would the knock-on impact be on earnings?
Paul Hanratty: Mlondolozi, do you want to take the first one and Abigail can do the second.
Mlondolozi Mahlangeni: Yes. No, I'll take the first one.
Paul Hanratty: Would you prefer the second and she can do the first.
Mlondolozi Mahlangeni: I can -- I'll do the first and then Abigail can do the second answer -- division of labor. Yes, thanks very much for the question. I think we -- just the CSM growth, and we've included in the pack the CSM position, particularly for the Life & Savings business. So the growth was muted. The core growth was slightly negative in the first half of the year. And the main explanation, as we indicated, was because of the muted growth in new and VNB. So the year-on-year VNB was down. So our outlook is, as Paul has indicated, there were certain reasons why we had that VNB experience, and we expect a recovery in the VNB growth in the second half of the year. So we expect high digit to low double-digit growth in new business CSM over the medium term once the VNB growth has recovered. So I mean, the first half of the year was a bit of an aberration. The second part, just to mention is the fact that there is a slight technicality in the CSM release in the first half of the year compared to the second half of the year. But I don't want to point with all the technical details, but you release CSM based on your coverage units and the coverage units reduce over the year. So you're likely to release a lot more in the first half of the year than in the second half of the year, but it will normalize. So the release percentage is slightly higher in the first half compared in the second half. So the reduction that comes from that component will normalize at the end of the year. So we expect that the CSM growth will revert to normalized levels over the medium term.
Abigail Mukhuba: I think from a currency perspective, I might have flown over the slide too quickly, but we did have a slide that shows the impact of currency on our earnings when I was talking about the normalization. And if you look at our first half '25 results, if we translate that at the weighted average exchange rate of last year, you had almost 2% positive impact on our earnings. So I suppose you could try and extrapolate, use that similar impact on the earnings side. And then on RoGEV side, we did say that the currency translation actually caused a reduction in our RoGEV performance. So we would expect if all else stayed the same, you would have directionally similar movements.
Grant Davids: Thanks Mlondolozi and Abigail.
Faizan Lakhani: So just to clarify your...
Grant Davids: Go ahead, Faizan.
Faizan Lakhani: So just to clarify, for your guidance for the full year on net result, that makes the adjustment for currency? Or is that after normalizing for currency?
Abigail Mukhuba: After normalizing for currency. So we're saying we normalize for currency, so the impact of the actual change or movement in currency resulted in a positive impact on our earnings for the 6 months, a positive impact of 2%. So an uplift in our earnings.
Grant Davids: Thanks Faizan. And operator, any further questions from the telephone line?
Operator: Thank you, sir, but we have no further questions from the lines.
Grant Davids: Thanks. From the webcast, we have 2. First, [indiscernible] from The Business Times and then Jarred Houston from All Weather. So the first question from [indiscernible] is, are we targeting any further acquisitions in South Africa and beyond? What is the driving growth story in India? And then Jarred asks about whether we're considering any share buybacks?
Paul Hanratty: Okay. So as to the first question, we're not contemplating any more acquisitions anywhere. We've got a lot, and we explained that those are all busy in the process of being integrated. What was the second question?
Grant Davids: Share buybacks.
Paul Hanratty: No, no. The first person...
Grant Davids: India, sorry, India...
Paul Hanratty: What is the growth -- what are the underlying growth drivers in India? The underlying growth drivers in India are a very strong real GDP growth, followed by an extremely competitive and entrenched position that we have in that market segment. We have a very dominant position in the rural economy of India, which is actually the majority of the economy in India. And we are able to make money at very low-level customer wealth. And that makes it very difficult for other people to compete with us. So we have a very -- effectively a competitive moat in India in our market segment in a strong growing economy. And we basically cover all bases of financial services. So that's situation. And as to Jarred's question on share buybacks, no, we are not contemplating share buybacks.
Grant Davids: Thank you, Paul. A question from Andrew McNulty on the contributions from BrightRock and Capital Legacy to VNB that was mentioned in our results. Is there any further detail Mlondolozi we can give on the performance of BrightRock and Capital Legacy from a VNB perspective?
Mlondolozi Mahlangeni: Yes, nothing further to add than what we've disclosed in the report.
Grant Davids: Thank you. We can pick that up in our discussions, Andrew. And I think the next question as well is from Marius, quite a detailed question on IFRS 17 and the different measurement models. I think in our one-on-one disclosures, Marius, we will be able to unpack that for you. You do question, if we will be giving more disclosure, yes. And I think as Paul has said in the presentation, we are planning from our Capital Markets Day and beyond to give more disclosures, but we'll pick up with you in our one-on-one meeting, the more detailed questions. There are no further questions from the webcast. I'll do one more check on the telephone lines, operator?
Operator: Thank you, sir, we have no further questions from the lines.
Grant Davids: Thanks very much. I think, ladies and gentlemen, those are all the questions we have for today. Thank you to Paul, Abigail and Mlondolozi for answering those questions. And to everyone joining us online and in the room, thanks very much. We look forward to seeing you at our Capital Markets Day on the 16th of October. Thanks very much.